Operator: Good day, ladies and gentlemen, and welcome to the FuelCell Energy Reports First Quarter 2017 Results Conference Call. At this time, all participants are in a listen-only mode. Later, we'll conduct a question-and-answer session and instructions will follow at that time. [Operator instructions] As a reminder, this conference call is being recorded. I’d now like to introduce your host for today’s conference, Mr. Kurt Goddard, Vice President, Investor Relations. Sir, you may begin.
Kurt Goddard: Good morning and welcome to the first quarter 2017 earnings call for FuelCell Energy. This morning, FuelCell Energy released financial results for the first quarter of 2017. The earnings release as well as a presentation that will be referenced during this earnings call is available on the Investor Relations section of the company website at www.fuelcellenergy.com. A replay of this call will be available approximately two hours after its conclusion on the company website. Before proceeding with the call, I would like to remind everyone that this call is being recorded and that the discussion today will contain forward-looking statements, including the company’s plans and expectations for the continuing development and commercialization of our FuelCell technology. I would like to direct listeners to read the company’s cautionary statement on forward-looking information and other risk factors in our filings with the U.S. Securities and Exchange Commission. Delivering remarks today will be Chip Bottone, President and Chief Executive Officer; and Mike Bishop, Senior Vice President and Chief Financial Officer. Now, I would like to turn the call over to Chip Bottone. Chip?
Chip Bottone: Thank you, Kurt. Good morning, everyone, and welcome. The first quarter of 2017 continues our business transition, focusing on margin improvement and sustainable and diverse revenue. The stronger margins compared with 2016 reflect our cost reduction efforts such as focusing on improving the service business as well as the favorable impact of our growing operating portfolio. FuelCell Energy continues to advance multi-megawatt projects in a number of states in the U.S., construction of the 3.7 megawatt SureSource 4000, it's extraordinary efficiency and competitive is progressing on schedule. We are encouraged by opportunities we see in both Europe and Asia. We're making good progress ensuring that the unique attributes of fuel cells are understood and appropriately valued by legislators and regulators. I'll discuss our markets and opportunities in more detail after Mike Bishop, our Chief Financial Officer reviews our business model and financial results for the quarter. Mike?
Mike Bishop: Thank you, Chip. Good morning and thank you for joining our call today. Please turn to Slide 4 titled Business Model. I would like to start off by saying that we've updated our revenue and cost of sales classification on the income statement by adding the generation category in this fiscal quarter. Generation revenues from company-owned power plant projects are becoming a larger contributor to revenues and margins leading to this new category. Generation revenue represents electricity sales under projects retained by the company as well as related revenues such as thermal energy and sale of renewable energy credits. Comparable prior period amounts and revenue backlog have been reclassified to align with current period reporting. I'm going to begin my comments with an overview of how we intend to achieve profitable growth. I will then discuss quarterly results before turning the call back to Chip. As our business model continues to transition, P&L revenue classifications, sources of revenue and growth drivers in each category will continue to evolve as illustrated on Slide 4. On the product sales side of the business, we continue to sell complete turnkey power plants and have a large U.S. and international sales pipeline. U.S. utility projects are an example in this category such as the recently completed Avangrid-owned power plant in the Town of Woodbridge, Connecticut or international sales such as those executed with E.ON in Germany. By strategically retaining projects on balance sheet, our generation business continues to grow and provide long-term recurring revenue with strong margins and operating cash flows. As illustrated on the table on the right side of the slide, we are currently operating 11.2 megawatts and have another 6.5 megawatts under construction. We also have a near-term pipeline of approximately 14 megawatts of on-site projects, which we expect to convert to backlog this year once power purchase agreements are executed. Even our current inventory position, this is a significant cash generation opportunity as we source financing for these projects. Like generation, service revenue is long-term recurring revenue, but from projects not owned by the company. We expect service revenue growth from the expanding customer fleet and margin opportunities from optimizing the fleet as well as technology advances such as the higher efficiency fuel cell and longer stack life in future generations. Advanced technology contracts complete our revenue generation drivers. Our three near-term focused areas are carbon capture, distributed hydrogen and long-duration storage, which chip will discuss further in his remarks. As the mix continues to transition to more private industry contracts, we see expanding revenue and margin opportunities. We expect all four of these categories to be meaningful drivers to the company's future growth and profitability. We undertook operating expense reductions partway through the first quarter of 2017, including staffing reductions, which reduced our overall cost structure. When our backlog supports the production rate increase, operating expenses are expected to remain relatively static as we can support growth with our existing staffing structure. With a lower cost structure, we continue to reduce our breakeven point as we target cash generation as measured by EBITDA and adjusted EBITDA. We used to talk in terms of total annual production volume required to achieve breakeven and that number is now approximately 45 megawatts for the sale of complete power plants. With the growing operating portfolio, we become less reliant on product sales to achieve profitability. As an example, an operating portfolio of approximately 60 megawatts will also result in positive EBITDA. Our expectations are for a continuing mix, about right sales and growth in our operating portfolio. The point I want to make here is that a blend with backlog growth from sales pipeline conversions, coupled with contributions from service and advanced technologies will drive EBITDA positive results in the future. Please turn to Slide 5 titled Financial Summary. FuelCell Energy reported total revenues for the first quarter of 2017 of $17 million compared to $33.5 million for the prior year period reflecting our transition to selectively retaining projects on balance sheet in the absence of Korea sales as our partner POSCO Energy now manufactures locally under license and royalty agreements. Gross profit for the first quarter of 2017 totaled $1.8 million compared to a gross loss to $200,000 incurred in the same period last year. Product margins were negative on low production time. Generation margins illustrate the attractiveness of retaining projects, service margins are stronger than the recent past, reflecting our active management of exiting legacy projects from many years ago,. And finally, the mix of contracts is favorable and advanced technologies driving higher margins. Operating expenses totaled $12.7 million for the first quarter of 2017 including a $1.3 million restructuring charge compared to $11.4 million for the prior year period. The restructuring actions taken partway through -- were taken partway through the first quarter, so cost reduction impact was not fully realized in the quarter. Net loss to common shareholders for the first quarter was $14.5 million or $0.39 per basic and diluted share. Excluding the restructuring charge, adjusted first quarter 2017 net loss attributable to common shareholders was $13.1 million or $0.35 per basic and diluted share. This compared to $12.5 million or $0.48 per basic and diluted share in the first quarter of 2016. Adjusted EBITDA loss in Q1 totaled $6.5 million, which is an improvement of $2.9 million compared to Q1 2016, reflecting the marking contributors that I previously mentioned. Cash, cash equivalents, restricted cash and financing availability, totaled $141.2 million as of January 31, 2017, which includes $57.6 million of cash and cash equivalents, $43.6 million of restricted cash and $40 million of borrowing availability under the NRG revolving project financing facility. Backlog totaled $437 million at the end of the current period as illustrated on the chart on the bottom left of the slide. At the end of the quarter, service backlog totaled approximately $200 million and generation backlog totaled $170 million. These backlog categories represent 100 megawatts of future FuelCell module production, highlighting future committed production volume that earned the margin. Product backlog totaled $14 million and advanced technology contract backlog totaled $54 million. Turning to the inventory and project assets graph on the right side of the slide, complete power plants increased sequentially while work in process was basically unchanged as we reduced material purchasing. Project assets increased sequentially reflecting costs incurred for the construction of two projects. Our focus remains on converting pipeline into executed contracts to monetize cash invested in inventory. In conclusion, we see a positive trajectory for the company as we transition the business model with a focus on cost reduction, growing our backlog, expanding margin and generating cash from assets. I will now turn the call back to Chip. Chip?
Chip Bottone: Thank you, Mike. Please turn to Slide 6, Global Markets Update. In order to reflect who we are and what we do, we recently recast our mission to delivering clean innovative solutions for the global supply, recovery and storage of energy. Let's begin with updating you on the progress and the supply of energy, our power plant projects activities. As I mentioned in my opening remarks, construction continues on schedule for the first multimegawatt installation of our 3.7 megawatt enhanced efficiency FuelCell power plant, the SureSource 4000. This is groundbreaking in the power generation industry for its electrical efficiency of approximately 60% and its ability to sight where the power is used such as when in cities and residential neighborhoods. Minimizing or avoiding transmission saves rate payers, money and avoids the line losses inherit in transmission. Taken into account transmission losses, delivered electrical efficiency is actually superior to that of a combined cycle plant, which is built away from the population centers and loses power transmission. As shown in the photo on the slide, Connecticut Governor, Malloy and Commissioner Klein, of the States Department of Energy and Environmental Protection, participated in the Dedication Ceremony for our multimegawatt on-site power plant in Woodbridge, Connecticut. Located on a small plot of land, right next to the local high school and owned by repeat utility customer Avangrid, this multimegawatt plant is the sole power source for town microgrid. The project ensures energy reliability and security for our central town facilities in the event of grid outages. We continue to advance multiple fuel cell projects in Connecticut. In addition to these projects to developer of the 63 megawatt Beacon Falls fuel cell park continues to progress the project. It is essentially shovel ready at this time with all major permitting completed. We continue to seek smart policy and progressive regulations replacing incentives. Our team remains focused on ensuring that policymakers understand the many ways in which fuel cells can contribute to solving energy challenges while creating jobs and contributing to economic growth. We see evidence of this in favorable legislation activity in Connecticut, New York and California. Connecticut lawmakers have introduced House Bill 7036. The proposed bill would enable the state's electric utilities to acquire fuel cell power plants for the stated purpose of enhancing the reliability of electric distribution system. This legislation would allow utilities to avoid or defer expensive distribution system upgrades through the use of distributed generation fuel cells. Provisions in the bill seek to make the efficient use of existing infrastructure and sites such as urban Brownfields. We have multiple projects in development, which support the goals of this legislation. As a result, legislations such as House Bill 7036 is necessary so the Connecticut utilities can acquire generation assets. Under an earlier and similar bill, the Connecticut utilities were allowed to contract up to 20 megawatts of Class 1 renewable generation. Because of our value proposition, over half of these projects were awarded to FuelCell Energy. 8 megawatts have been constructed or in operation with utility Avangrid. Also 5 megawatts were awarded under a long-term PPA in Eversource's territory in South Windsor. We are actively working with the developers and state regulators to advance the project in 2017. During a public hearing in February, on the proposed legislation, all the testimonies was very supportive. We expect the discussion going forward to focus on the number of megawatts utilities will be allowed to acquire. When the numerous attributes of domestically developed and manufactured fuel cells are evaluated comprehensively, they compare favorably to other forms of clean power generation. To help policymakers and utility customers appropriately and fairly evaluate fuel cells, we discussed with them side-by-side comparison data as depicted on the chart on the slide. This data demonstrates some critically important advantage of fuel cells. First fuel cell power products are affordable on a cent per kilowatt hour basis because they can be sited easily in urban environments, fuel cell projects avoid the need for costly transmission and expensive including peak and power generation, both of which can add substantially to the cost of energy generation. Second, urban fuel cell projects generate property taxes for cities, especially when constructed in brownfields that return unimproved land back to tax rules. Fuel cell projects pay for local infrastructure improvement and they pay sales tax for intermittent resources are often exempt and maybe located out of state. Third, fuel cells are designed and manufactured in America and provide domestic jobs unlike many vendors of intermittent power generation are manufactured outside the United States. It can be somewhat difficult to compare fuel cells, generating predictable power and intermittent technologies like solar and wind. Data like this can help policymakers align economic and energy policies and make balanced and informed decisions that are in the best interest of ratepayers such as understanding the cost of peaking power support when intermittent power generation is not available. The link on the right is a recent article in the Economist that explains the challenges facing electric grid and utilities with growing adoption of intermittent power generation. We make these comparisons to illustrate differences and benefits of the technology. FuelCell Energy supports the portfolio approach of using all clean and distributed generation technologies to upgrade and improve the reliability and emission's profile of our grid while delivering benefits to rate payers. We completed our submittal of the number of multimegawatt projects the 40-megawatt fuel-cell only RFP issued by PSEG Long Island. These projects address the challenge facing the utility with clean on island generation that is affordable and cited near specific electrical substations facing power availability shortfalls. According to utility website, bidders are expected to be notified within the first half of calendar year 2017. We believe PSEG's RFP is a good model for other utilities and state governments to consider emulating because it recognizes the unique attributes and value of fuel cells specifically by citing clean, affordable, predictable power where it's needed. In New York State, ongoing energy policy developments are enhancing market opportunities for fuel cells as the state works to enhance energy resiliency. This requires clean predictable power that is easy to site, all characteristics of our fuel cell power plants. In addition, the 2000 megawatt Indian Point nuclear plant is expected to be decommissioned in the next three years. So, other forms of generation will be needed and easy to cycling fuel-cell clients could help the utility address many of their needs. We're continuing emphasis in California for utilization of renewable biogas and we are well-positioned for power generation as well as renewable fuel for transportation applications, which I will discuss in greater detail in the following slide. We have numerous projects in multiple market segments that we have developed are in final approval for contract stages with awards near term. Republicans Tom Reed and Patrick Meehan with colleagues of the U.S. House of Representatives, cosponsored legislation, which seeks to restore parity in the federal tax code for fuel cells and other technologies. The technologies for Security Act HR 1090 would restore fuel cells and other technologies to the U.S. investment tax credit. This common-sense legislation has supported both parties. While we are executing our business strategy without the ITC, the exclusion of fuel cells from ITC's renewal resulted in uneven playing field versus other technologies that are eligible for the ITC. We'll continue to communicate the federal leaders that fuel cells meet the clean energy needs of our country and epitomize American innovation and manufacturing. I've just returned from meetings in Asian. We had discussions with a number of gas and electric companies in South Korea with our partner POSCO Energy. We're seeking to better understand the business and energy challenges these companies face and determine how fuel cells can help address them. Recent meetings in Korea confirm the enormous demand for our current solutions and new solutions such as the aforementioned SureSource 4000, which offers even better value and higher gas prices. Because of our existing agreements with POSCO Energy are limited to specific products and configurations, we're exploring avenues to broaden Asian market opportunity by offering a complete product solution portfolio to potentially include carbon capture, distributed hydrogen and our gas letdown station application for gas pipelines. The 20 megawatt Noeul Green fuel cell park in Seoul, South Korea is fully operational. The park was constructed for Korean hydro and nuclear power repeat customer POSCO Energy and the largest utility in Korea. KHMP generates nearly 50% of all the power generation in the country. Their portion of the new and renewable energy policy could be as high as 3,000 to 4,000 megawatts for which fuel cells can serve a large portion. Elsewhere in Asia, China noted fuel cell investments in programs targeting clean and efficient energy are an attractive match for our solutions and business model. The energy policy, population density, topography and supply of natural resources in Japan mirror that of Korea. Japan has been a supporter of fuel cell technology for many years. The recent decision to cancel a portion of an expensive solar feeding tariff program represents an opportunity as well. Please turn to Slide 7, Expanding Opportunities. We're seeing expanding global interest as we continue advancing our carbon capture solution. Recognizing the unique economic and environmental advantages of our solution FuelCell Energy has been invited to make presentations for two leading and influential industry organizations later this month in Washington DC. On March 15, we'll be representing our fuel cell power carbon capture solution during the Annual Spring Meeting of the National Coal Council. The National Coal Counsel is a federal advisory committee to the U.S. Secretary of Energy providing advice and recommendations directly to the secretary. Our participation is designed to increase the visibility of our scalable solution in the nation's capital within the coal and utility industries. We'll be highlighting our fuel cell carbon capture pilot plant project at certain companies mixed-use James Behr Electric Generating Station in Alabama. This pilot project will demonstrate carbon capture using our fuel cell solutions from coal and natural gas power generation. On the following day, March 16, we'll be presenting our carbon capture solution jointly with ExxonMobil at the United States Association at 1300 Pennsylvania Avenue. Our relationship with ExxonMobil, a global leader in sequestration is helping to accelerate commercialization of our solution. In its first public blog and appearance appearance at CERAWeek, Darren Woods the new Chairman and CEO of ExxonMobil reiterated company's commitment to carbon capture initiatives and the potential of fuel cells to make carbon capture more affordable and expand its use. Information on these two presentations in this blog is posted available on the FuelCell Energy's website. We're executed on a contract with Alberta Innovates a consortium of many leading global oil and gas companies for an engineering study of our carbon capture solution at one of two different heavy oil thermal facilities in the oil sands region of Canada. If the project proceeds to the next stage the next potential action would be installing a carbon capture configured fuel cell power plant of one of the oil processing facilities. With growing interest from global energy companies and from industry, we have added dedicated resources for our carbon capture solutions and are pursuing proposals globally. Interest in our distributor hydrant solution has also grown. We're getting traction in California for example where the hydrogen fueling network for vehicles continues to expand the support from a variety of stakeholders. The lack of affordable renewal hydrogen remains a general marketplace challenge. Completion of new fueling stations and recently awarded stations are growing the demand for affordable hydrogen. We have developed a comprehensive strategy that we have shared with numerous stakeholders to deliver affordable hydrogen to consumers while paying for future infrastructure and operations. Our SureSource hydrogen trigeneration solution, reliably generates high purity hydrogen that is more clean and affordable. We continue to advance our strategy of citing fuel cell power plants operating on renewable biogas that will generate power, heat and affordable carbon negative hydrogen for fuel cell electric vehicles. Our solution is perfectly adapted to the much-needed application and can help support the growth of fuel cell electric vehicle fleet deployment. We see increasing potential for distributor hydrogen applications in Asia and Europe. Growing interest in hydrogen was evident for example during our meetings with gas and electric utilities in South Korea and we are also encouraged by the recent formation of the Hydrogen Council consisting of a number of leading automotive manufacturers in industrial gas companies. Building our expertise and solid oxide fuel cell technology, we have developed innovative solutions that address the large potential market for affordable and efficient long duration energy storage. Based on reversible solid oxide fuel cell technology, our solution converts excess power during periods of low power demand in the hydrogen and energy carrier, stores it on-site for long periods of time and then uses the hydrogen as a fuel source to generate clean power when needed during times of high power demand. The scalable solution provides a long-duration storage option with high round-trip efficiency of approximately 70%. This level compares very favorably against other technologies. The graph on the slide compares the cost per kilowatt hour of storage capacity of our long-duration solid oxide technology against current and future generation lithium ion batteries. As shown on the graph, the full benefit of our solutions realize longer durations. Our solid oxide storage solution is competitive at durations of four hours or more and provides risk mitigation against excessive cycling and changing power network needs. As part of our ongoing outreach for legislators and policymakers, FuelCell Energy recently offered testimony to the California Public Utilities Commission regarding implementation of Assembly Bill 1637 and the self-generation incentive program. We encourage the commission to specifically consider long duration energy storage in their program. This solution affords us an opportunity to expand our product offering to utilities and allows us to leverage our utility relationships. We are actively bidding storage projects. Please turn to Slide 8, summary. During the first quarter, we changed stronger margins as a result of recent actions taken to reduce costs and prior actions to optimize our service business combined with the favorable impact from the generation portfolio. We're continuing to diversify our revenue sources, customer base, graphic focus to support our growth and push to profitability. The FuelCell Energy team is advancing multimegawatt projects in the U.S. and we're constructing our first SureSource 4000 plant to showcase its groundbreaking efficiency. We are working with high-profile global organizations like ExxonMobil, E.ON southern company and a Canadian consortium of leading oil and gas producers for innovative carbon capture solution and actively raising over profile in Washington DC to legislators, regulators and the coal industry. We remain encouraged with progress being made with our hydrogen tri-generation solution for vehicle fueling networks. Our long-duration storage solution is gaining utility interest and we are engaged in active solicitations. We're actively engaging with global policymakers to drive greater understanding of the many ways in which our fuel cell technologies solve energy challenges while creating jobs and contributing to economic growth. Operator, we'll be happy to take questions at this time.
Operator: [Operator instructions] And our first question comes from the line of Eric Stine with Craig-Hallum. Your line is now open.
Eric Stine: Good morning, everyone. I just wanted to clarify so early on in your prepared remarks, you talked about some projects in Connecticut I believe a 5 megawatt and 8 megawatt project, so just wanted to clarify, are those projects that you're waiting on that legislation if that legislation is passed, then you pull the trigger or the trigger gets pulled on those projects. And also, to clarify would those projects be product sales or would they be under the PPA model?
Chip Bottone: So, this is Chip. I'll take that one. So, eight of those megawatts are projects we ready did. There was a similar program called renewable connections which was basically a precursor for utility ownership in the State of Connecticut. The 5 megawatts of what I mentioned there, is something that was awarded, but is not actually got to contract stage yet. So, we're basically in this build that I referenced to specifically in Connecticut 7036. What we're trying to do is extend that program to something pretty large and second, we have multiple years in there because as we meet with the utility executives they really understand, particularly the operating people, they really understand the value of our solution and when you're able to put these things in a place where you think it's most beneficial, that's where you really produce the most value to ratepayers. So, there's a lot of support for that program or that bill and we're just trying to push it forward.
Eric Stine: Okay. All right. So, we should view it as anything for the clarity on the 8 megawatts that's done previously, but the 5 megawatts I would assume that that is the start and there's more behind that, should this get past and it sounds like that would be a project that's where the utility would own it.
Mike Bishop: So, Eric. This is Mike. I'll take a shot at that. So, the 5 megawatts that Chip mentioned previously awarded under a prior program FuelCell Energy is actively working with the developers of that project. It's a project in South Windsor. They have the PPA unclear whether it's just a direct project -- product sale to them or we partner up with them in more of a development model but that project was advanced forward further with a recent ruling at the state level. So, we expect more to follow on that project. As Chip mentioned, still in legislation it would come out later this year and as Chip mentioned, we have projects under development in the state anywhere from we talked about the Triangle Street project 3.7 megawatts all the way up to 20 megawatts sized projects that would draw interest from the utilities in the state.
Eric Stine: Got it. Okay. Thanks for that. Maybe just turning to E.ON, I saw, I don't know within the last month or so that E.ON and Radisson Blu had signed partnership and you had a deployment. They're just curious you've had the agreement with E.ON in place here for what it's been almost a year. Just curious how you are viewing that opportunity and business move into the hotel sector what does that do to your view.
Chip Bottone: Yes, so if you recall, we did a megawatt sized project last year and this was -- they have a whole business dedicated to trying to go out and acquire projects here using their balance sheet. The dynamics in Germany have created separation between their operating assets and this new business. This is a net new business category. So, we kind of started slow with them and then we got these two projects but we actually have a much broader portfolio of projects we're working on directly between ourselves and their users are they're much larger projects buy class. So, for them, they wanted our help on some early projects that's fine, but really, we're after bigger projects with multinationals and things like that. So, it's a pretty close relationship we're working on detailed projects as we speak.
Eric Stine: Got it. Good to hear that. Okay. Maybe last one for me and for Mike to just model so obviously, you have the charge in the quarter, didn't get the full benefit of the OpEx cuts, what kind of run rate should we think about here going forward on OpEx?
Mike Bishop: Yes Eric. So, on operating expenses, what we said last quarter when we did the restructuring is we're looking to reduce overall operating expenses by about $6 million a year on an annualized basis. So, if you compare against last year, that's what we're targeting. As I mentioned in my remarks, we didn't get the full benefit of that in Q1 of this year and the change was about halfway through the quarter, but that's target Eric is on an annualized basis taking about $6 million out of OpEx.
Eric Stine: Okay. Thank you.
Operator: And our next question comes from the line of Craig Irwin with ROTH Capital Partners. Your line is open.
Craig Irwin: Good morning and thank you for taking my question. So, big picture, a lot of investors in North America believes that the slow backlog progression is somewhat interlinked with initial purchase price. We're all aware of the way the economics come together for your plants with the very high efficiency and the superior environmental attributes and what that calculates out to a levelized cost over the life of the plant or over an ownership period. Many people are really big believers that the cost of the product needs to come down. In the past, several years fuel cells made some significant improvements in stack life reducing materials content in the stack, increasing the efficiency of the factory and a variety of other things that contribute to the overall positive economics. Can you talk about your list of high priority cost out projects that you're looking at now and how these rate versus other things in the R&D queue like carbon capture or putting out more of your own company-made gas cleanup skids and some of the other opportunities that you're looking at in the near term?
Chip Bottone: So, Craig, I'll take, this is Chip. I'll take that. Mike might have something to add, but I'll do give that a shot. We spent some time in the presentation kind of laying out a comparison and why that's true we've done an amazing job of reducing cost of the product over the last several years, probably 70% from what it used to be. What's really evolved is these are financial assets, people don't buy the equipment any more. Most of the business is done through power purchase agreements. So, when you look at a power purchase agreement, which you look as the total operating cost, so you say what makes up whatever the number you bid, pick a number $0.09, $0.10, $0.11 all in and what you find is the capital cost represents today less than a third of the total cost. So, you're right. So, then what you do is you focus on if the number is X, you focus on the other two thirds of the pie. One of those is efficiency. So, our R&D effort over the last two years has been a lot of the money that we've had is being spent on the what we call SureSource 4000 which basically gives us the ability to drive the efficiency of up over 20% from 47% to 60%. And now when you look at the operating expense of that, it has very, very significant impact on that cents per kilowatt total now in this country we're trying to blast with $3 gas and you don't always see the same, it has two sides of that, one is the good news is it allows us to have the cost of the project low but when you go with that extra efficiency to places of higher power, it really, really helps a lot. So yes, we're working on longer stacks and things like that, but really what we're working on most importantly is we are competitive against any of these things. It's finding the applications where the value is appreciated and I can just tell you that there are people out there that need education or prepare to provide it. We are providing it. If you notice in our comments on legislation, we're not after incentives. We're after regulatory changes and that's ringing true with people. So, I would say that we're not after -- we're after a flat playing field as well, but it's becoming obvious to people now that we have a very compelling value proposition and more importantly, with that value proposition, we can provide the investment returns necessary for investors because there is two sides of any project, it's an financial asset. One you got to make people interested in why they want to do it. Secondly, the financing has to make sense. So, I would say, we're working on both sides of this equation. It's a long answer, but I'll stand on record I have before as to for the right project, we will be competitive, there is no question about it and that will be supported by people in decision-making authority at utilities and other places. It just took a while to get that message clearly understood.
Craig Irwin: Great. That's really encouraging. So then just to follow-up on gas cleanup skids, so from our conversations to people that have brought systems in the past and people that are familiar with the financial performance of the companies that provide these systems we understand that the margins on those if you're selling a repeat product not one-of-a-kind right, but if you're selling something repetitively, you get 50% margin on those high-ticket items. Now I know you've got a couple systems out there that you fielded and you've obviously got the technical expertise in house. Are you looking at this as an opportunity to serve your existing install base and more comprehensively serve your customer base over the next couple years?
Chip Bottone: So, Craig thanks for that questions, just for the broader audience, so we introduced, we FuelCell Energy a way to, we do particularly in California we do a number of projects that the input is biogas and that biogas needs to be cleaned up in some fashion, so that we can use it in field, so we're pretty unique in that regard that we can do that as compared to using straight natural gas. So, we developed in the past, we would have somebody else provide that gas cleanup system and a lot of the projects that were out there because of failures of it or the expense of it, we're problematic. So, we decided to just do our own system and that's worked out well for us. We more recent, one we did a project in Riverside California at a municipal wastewater plant and really Craig what we did there was that was a power purchase agreement we did with them. The result of that of the development we made on the fuel cleanup skid is we took responsibility for the whole thing okay. So, the whole project, every aspect of the project and we put that under our balance sheet and as Mike went into earlier net, net, you can see that the margins on those owned projects are pretty good. So, what we find more these days is we're really not outselling these cleanups skids as part of a broader project, but it really helps the reliability and therefore the financials of the project. But yes, it's good margin business, but we're pretty unique in that application where we do those projects where other people wouldn't do that.
Craig Irwin: Thank you. So, I wanted to ask a couple balance sheet questions if I may. Mike the $50.5 million in noncurrent project assets, could you discuss how do you value these assets when they're brought on to the balance sheet? Is this something similar to a market value or is this calculated more from the cost to install and your cost that is reflected on these projects?
Chip Bottone: Sure Craig. Good morning. It's based on our cost to build the project, Craig. So not marking them up to market value or anything like that and what's on the balance sheet right now as I tried to say on the slide and the deck we have 11.2 megawatts of operating assets and then we have another 6.5 megawatts of projects under construction that are in that category as well.
Craig Irwin: Okay. And just to clarify on these the $50.5 million does not include anything in there for the ITC that you've captured on projects before January 01 and does not include REX, does not include some of the other benefits and obviously, the profit on these projects that's out there. So, a market valuation if you were to dispose of these assets, we could assume it would be quite a bit higher than that $50 million, is that fair?
Mike Bishop: Sure, if we were to go out and sell these assets, they would look at I think a buyer would look at the long-term cash flows and long-term cash flows of these project would certainly support evaluation of higher than the cost value on our balance sheet and it does, and to your point again this is cost, doesn’t include ITC or any other market based adjustment.
Craig Irwin: Okay. Excellent. And then moving over to inventories, $80 plus million in inventory relatively high for me, is there any specific inventory that in transit where you're likely to deliver in your fiscal second quarter and can you comment about where you'd like to see inventories by the end of October when you complete your fiscal year?
Chip Bottone: Sure. We're not giving specific guidance, but what I would say is we would expect inventory to be down from where we are today. As I mentioned in my remarks, we have about 14 megawatts of what we call near-term on-site pipelines. So, these are projects that we line of sight to PPAs and once we execute those PPAs the inventory would move to long-term assets and we would go out and get project financing for it. So, we look at inventory as a cash opportunity this year as we again continue to build up our backlog and convert it to long-term project financing.
Craig Irwin: Okay. Excellent. And then…
Chip Bottone: Craig, we're happy to take this offline with you. We only have 15 minutes or 14 minutes left and there are some other people that want to ask some questions.
Craig Irwin: Okay. I'll ask, I'll ask the rest of my questions offline. Thank you.
Chip Bottone: Yes. Okay. Thank you.
Operator: And our next question comes from the line of Carter Driscoll with FBR. Your line is now open.
Carter Driscoll: Good morning, gentlemen. The first question is you could talk about any incremental progress in the pilot facility that you're building in Southern anything that you have learned, is it too early stage and maybe give a little bit of additional color and what you're hoping to present next week at the industry event and will be able to talk about what you've learned from the demo project where is it still going to be more high level and then I've a couple follow-ups, thank you?
Chip Bottone: This is Chip. Let me take that. So, the way these things work is there is bunch of engineering involved in site work and things like that. That's all going perfectly fine. Maybe when I talk to the Exxon people, when I talked to Southern Company people, they're very pleased with the progress and they're excited about getting the thing online and things like that. So, I think everything on that thing is going exactly to plan. Subsequent to that or in parallel that the folks at Exxon are our talking a lot about carbon capture beyond this project as you probably saw and I've laid out a few examples in my notes. So, when we go talk to these groups next week, there's a coal audience and then there is a broader audience that wants to talk about how you can reduce CO2 using our technology for both coal and gas power generation. So, there's been surprises I can tell you about of this project. It's on track. It's as we described and we're just going to basically talk to people about the solution which everybody is coalescing around the idea that it's something affordable, it's something that's needed right, reducing CO2 either from coal to save the industry or from natural gas to lower the CO2 footprint. All those are good stories and that's what we're talking to people about.
Carter Driscoll: Any update on when you think you may have the power facility constructed and then I realize there is a period of time that you had to evaluate the data but do you have a target date in mind?
Chip Bottone: Yes, the actual construction I think is I want to say at the beginning of '18 or the end of '17 I can't remember off the top of my head but we're in the engineering and site design phase right now and then it will be running it next year, but in parallel of that, don't forget we're working on another study with Alberta Innovates in Canada for one of two pilot plants. And then we have some other proposals that are out to do the same thing. So, that's kind of a model is people would pay us to do the study and then we move into a pilot plant and the pilot plant will become a bigger plant by a factor of 10. So, that's kind of our business model?
Carter Driscoll: And maybe a question for Mike. So, within the advanced contract budget line item I should say, is this the majority of that revenue bucket. You talked about getting some storage projects. I am sure you looked at if you want any of those but is it, first off is that the majority of that line item? And then maybe you could talk about the bidding process in storage some of the hurdles you've faced and now you think those may or may not be resolved interesting opportunity that you guys have focused on a lot about, at least recently.
Mike Bishop: Sure. Good morning, Carter. So yes, I'll take the first one and I'll turn the storage back to Chip. So, in advanced technology contracts, we have multiple contracts that are coming through revenue recognition. The lion's share of this quarter is related to carbon capture but remember there two -- we had two carbon capture contracts. It's not just with ExxonMobil. We also have a carbon capture contract with the DOE that's part of that as well and then the other areas are solid oxide. We have multiple DOE contracts and solid oxide that makes up part of that balance as well.
Chip Bottone: Carter on the solid oxide storage, as I said in my notes, we're actually participating in a number of solicitations and I would say that I'm very pleased with the dialogue on the solicitations and the amount of interest that people have in talking about how they should be thinking about storage. I think that part of the challenge with storage was everybody said let's go do it and they didn't really know what their system networks really needed and they're really just relying on people to say what you have. While the good news is they're going down the road with some of those things, but we're now having discussions with people on facts like what's the real duration that you need, not what you offer. We give that answer to them and say we can make it is broad as you want and we like that. We now had an experience with other solutions and they're like cycling really kills the life of these things and that risk is on us and we're like we don't have to worry about cycling. So, I would say that we're being very thoughtful and there's a tremendous interest and on top of all that, we have a very compelling and competitive offering otherwise again people wouldn't be having the dialogue with us. So, it's a little bit early days. I don't have to report that we've got any contracts but on a commercial side, what you hope for is there's opportunities for your solution, which we have and then people get it and they're talking to you about before they make decisions which we are. So, I think that's a very positive development.
Carter Driscoll: Thanks for that, Chip. Just one more quick one, and I'll get back into queue. In terms of the breakeven on the -- I guess you talked about a 60-megawatt level for your operating portfolio. Does that assume static PPA terms from what you are experiencing either in the last quarter or over the last couple of quarters? Is there any degradation in that assumption going forward?
Chip Bottone: So, Carter, yes, we use that as an example to talk about opportunities to get to breakeven. So as the operating portfolio builds, less reliance on product sales. Now product sales will be part of the mix on and on so I do see 60 megawatts as an example assuming no product sales and yes as you -- as the economics are similar to what we have today as you do larger PPA projects, you have actually better economics than we get, we get scale from larger projects. But yes, it's a similar EBITDA profile in those projects that we're starting to see today.
Carter Driscoll: But given your backlog, is it fair to assume you would -- you could see the operating portfolio greater than your product sales this year at some point.
Chip Bottone: Well we haven’t given out revenue guidance for this year for that very reason in that the backlog could go multiple ways. Utilities tend to like to own the projects. If you are you working particularly downside market, those are more PPAs. So as our pipeline converts we'll provide greater clarity as we continue to get backlog in both product sales and generation.
Carter Driscoll: Okay. I will get back in the queue and take the rest offline. Thanks, guys.
Chip Bottone: Thank you.
Operator: And our next question comes from the line of Jeff Osborne with Cowen and Company. Your line is now open.
Jeff Osborne: Hey. Good morning. A couple of quick ones. When should we be thinking about the completion of the 2.8 and the 3.7 megawatt projects that you have under construction?
Mike Bishop: Jeff this is Mike. The 3.7 megawatt one is the Triangle Street project and that is going well. We actually had a picture of that in our deck. That will hit COD in the late summer timeframe. The other one is a waste water treatment facility, Tulare in California that will be dictated a little bit more by interconnect timing, not so much by our construction timing, but we would look to have that completed later in this calendar year.
Jeff Osborne: Got it. And then, Mike, how do we think about the cadence of the advanced technology revenue through the year? Is there any reason that that wouldn't be fairly flattish or linear through the year? Is it frontend loaded, backend loaded?
Mike Bishop: I think it will be in this range, not exactly the same amount every quarter, but we have a robust backlog in Advanced Technology and working really hard on it. So, I would expect it to continue at the range where we we're today.
Jeff Osborne: Got it. And just two other quick ones and maybe more for Chip. But can you just give us, Chip, a status of Long Island? You alluded to the feed-in tariff program at PSE&G, but just remind us of the tenders that you participated in and when you expect to hear back from that, as well as some of the other programs there in the region?
Chip Bottone: Yes Jeff, look you're referring to is the 40 megawatt fuel cell only RFP that LIPA closed out at the end of January, which means all bids have to be submitted by the end of January, which we did. I think it's safe to say that we provided proposals for more than the 40 megawatt. I think the proposal format in the process that LIPA went through as I said in my prepared remarks was very thoughtful and we do well in thoughtful things because some of for example they wanted to know certain power at certain substations and so on and so forth and they wanted certain size and we did a good job in doing that as well as the other things that's important to life is making sure that the communities in which you put these plants in are on board and we did that as well. So, we were -- I think we complied very nicely with what they're looking for and value and their own schedule as I mentioned is to have something to their Board, I think it was no later than July, but they were making notice that they might mention something in April and from our conversations with them because they’ve answered a few questions here and there, they seem to be on track with that.
Jeff Osborne: And then outside of the dozen or so substations Chip, that they chose, is there any other RFPs that you feel are active or you ever shot in calendar 2017 in PSEG territory?
Chip Bottone: There are some other projects we're working on Jeff not part of that particular RFP, but I would suspect that you'll hear something on those. And then of course there's a number of other projects big and smaller elsewhere that we're working on as well not specifically to those folks there in Long Island, but the broader Northeastern California.
Jeff Osborne: Perfect. That's all I had. Thank you.
Chip Bottone: Okay. Thank you.
Operator: And this does conclude today's Q&A session. I would now like to return the call to Mr. Chip Bottone for any further remarks.
Chip Bottone: I would like to thank everybody for joining the call today and we ran a little bit long. So, I'll keep my final remarks somewhat short, but look we made progress in this quarter towards a bigger end game here that Mike laid out here. I feel very good about the activity and how people are thinking about deploying our assets on a global basis. So long as Jeff asked, how is the activity, it's good. We're focused on both on the operating side as well as on the commercial side and we feel good about that. So, we again, thank you for your questions. They're all very thoughtful and we look forward to seeing you on the second quarter call. Have a great day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a great day.